Operator: Good morning, ladies and gentlemen. Welcome to the Red Robin Gourmet Burgers Inc. Third Quarter 2014 Earnings Call. Today's call is being recorded. As a reminder, part of today's discussion will include forward-looking statements within the meaning of federal securities laws. These statements are commonly identified by words such as anticipate, continue, plan, expect, intend, should, will and other terms with similar meanings. These statements include, but will not be limited to, statements that reflect the company's current expectations with respect to the macroeconomic and competitive environment, the financial condition of the company, results of operations, plans, objectives, future performance including the company's traffic and revenue-driving initiatives and strategy, pricing, sales growth, operating margin and operating weeks, costs, expenses, expense management, deployment of capital, restaurant development and remodels, integration and performance of acquired restaurants and other expectations discussed within the course of this call. Although the company believes the assumptions upon which preliminary or initial results, financial information and forward-looking statements are based are reasonable as of today's date, these forward-looking statements are not guarantees of future performance, and therefore, investors should not place undue reliance on them. Also, these statements are based on facts known and expected as of the date of this conference call, and the company undertakes no obligation to update these statements to reflect events or circumstances that might arise after this call. Participants on the call today should refer to the company's Form 10-K and other filings with the SEC for a more detailed discussion of risks, uncertainties and other factors that could impact the company's future operating results and financial condition. The company has posted its fiscal third quarter 2014 press release and supplemental financial information related to the quarter's results on its website at www.redrobin.com, in the Investors section. And now I would like to turn the call over to Mr. Steve Carley, Chief Executive Officer of Red Robin. Please go ahead, sir.
Stephen E. Carley: Thank you, Jamie, and thanks, everybody, for joining us this morning. With me today are Stuart Brown, our Chief Financial Officer; and Denny Post, our Chief Marketing Officer, who is also calling in. After Denny, Stuart and I deliver some brief opening remarks, we'd be happy to answer any questions you might have. I'm pleased to report a return to stronger performance in the third quarter despite macro headwinds and formidable sales comparisons from last year. We regained momentum late in Q3 and expect it to continue for the balance of the year. Turning to Slide 2. Here are the highlights for the quarter. Comparable restaurant revenue was up 90 basis points. Check was up 3.2%, offset by traffic, down 2.3%. As a reminder, in the third quarter of 2013, we reported a comparable restaurant revenue increase of 5.7%, which included both positive traffic and favorable menu mix. Total restaurant revenue increased 16.3% for the quarter, which included 32 newly acquired restaurants. Restaurant-level operating profit margin decreased 90 basis points to 19.5%, which was in line with expectations. Diluted EPS of $0.50 was an increase of 56.3%. In the quarter, we opened 6 new Red Robin restaurants, we closed 1, and acquired 32 restaurants from one of our largest franchisees. These restaurants are currently being integrated into our operating environment. Our results in Q3 were driven by a late-quarter return to positive traffic, bolstered by better year-over-year labor management. Not only did we see an improvement in productivity. We're confident that using our new "right people, right place, right time" scheduling system enabled us to do this without negatively impacting the guest experience, a fact that our guest buy [ph] scores for the quarter support. Looking at Slide 3. Turning to our brand transformation initiative. We remain encouraged by the guests' response to the changes we've made, which strike the right balance between contemporizing the environment and retaining elements which represent historical Red Robin equities. We are catching up on the new exterior signage work, which we expect to be completed at all of our BTI locations by year-end. Cumulatively, we will have 95 remodels fully completed by year-end and are now targeting 125 additional locations in 2015. With respect to Red Robin Burger Works, our 2 new locations in Chicago that opened in Q2 and our first location in Washington, D.C. that opened in Q3 are all off to promising starts. Stuart will speak more to Red Robin Burger Works in his remarks. With that, I will now pass it over to Denny to briefly discuss Q3 marketing and menu activity as well as what has just launched for the year-end.
Denny Marie Post: Thanks, Steve. Q3 played out much as we anticipated. After we completed our commitment to Hercules at the end of August, we moved into our fall planned promotion. This featured the new Southern Charm Finest Burger in restaurants, along with the Beam-N-Bacon Boozy Shake, both of which you can see on Slide 4. The Southern Charm did well enough that it will remain part of the Finest lineup moving forward. As of the beginning of September, we were also back on television with our value message of Tavern Double served with bottomless steak fries at $6.99 everyday, every hour. The combination of everyday value on air and Finest news in-restaurant is working for us again. We also continue to build and leverage our Red Robin Royalty program and returned to our Tavern Double Tuesday football sponsorships with the beginning of the regular season for the Broncos, Panthers, Cardinals, and Seahawks. As you may remember, we chose not to start this promotion in preseason this year to improve engagement and profitability, despite the known impact on year-over-year traffic in August. To take us to year-end, we launched our holiday promotion yesterday. It features the Big Sky Finest burger, limited-time offering that we selected as the winner of our South Beach Food & Wine Festival (sic) [South Beach Wine & Food Festival] Best of the Bash award earlier this year. We've also rolled out a gourmet turkey burger LTO with seasonal toppings. And we've added a highly topical and appealing new dessert we call the call the Doh! Rings tower. The spherical sweet items with holes in the middle, which make this dessert taste curiously similar to, but per our lawyers, cannot be called a cronut. To support holiday gift-card giving , we are also featuring a new burger-and-movie gift card online and in-restaurant, tied to the popular Hobbit franchise, the fifth in the series, along with our annual Bonus Buck offering on holiday gift cards. All in all, it's a really strong lineup to end the year and reinforces our well-earned position as the Burger Authority. Switching hats, let me speak briefly to our recently acquired business in Canada. We have uncovered opportunities there to improve operating margins, address everyday value, reinvigorate our kids business, update the restaurants and, ultimately, expand our footprint. We are working closely as a team on a number of improvements in the middle of P&L following the Project RED playbook as well as on enhancing the guest experience. We are moving forward late next year with transforming at least 2 restaurants to BTI standards, which we have modified slightly based on our guest research in the Canadian market. Much more to come as we implement those changes. With that, I'm going to hand it over to Stuart.
Stuart B. Brown: Thank you, Denny, and good morning, everyone. Before providing color on the quarter's results, I'm going to start with a few additional highlights. Third quarter adjusted EBITDA increased $4.6 million or 22% to $25.6 million, while EBITDA as a percentage of total revenues increased 50 basis points to 9.6% from a year ago. Net income increased $2.5 million or over 50% to $7.2 million and exceeded our expectations due to better operating performance, the shift of some G&A costs into the fourth quarter and a more favorable tax rate. Remember, only about $150,000 of net income equals $0.01 of earnings per share for Red Robin, making our EPS more sensitive than our peers'. Inclusive of the 326,000 shares that we repurchased during the third quarter, diluted earnings per share grew 56.3%, or $0.18, to $0.50 per share. Our third quarter comparable sales growth of 0.9% was comprised of 3.2% increase in average check, offset by a decrease in comparable traffic of 2.3% as you see on Slide 11 of the supplemental. The average check growth resulted from guests trading up to our Finest line of 1/2-pound Black Angus burgers, which we launched last November; more guests adding beverages and appetizers to their meals; and also included about 1% of price increases carried from January. For the quarter, our traffic growth underperformed our peers by 110 basis points according to Black Box. However, the sales trends during the quarter improved and played out largely as we had projected on our last earnings call. We had a slow start, and now we've cycled against August preseason football promotions from last year before ending the third quarter solidly. As you know, we don't normally discuss monthly trends but prefer to stay focused on the broader sustainable changes we are making to the business. This quarter, however, we want to give a bit more color because we feel that it is important to communicate that guests clearly engaged with the marketing shifts that Denny discussed. So our guest counts were negative in the first 2 periods of the quarter, as anticipated. Once the initiatives were fully implemented, we returned to positive traffic and outperformed our peers by 20 basis points during the last 4 weeks of the quarter, according to Black Box. Note that in generating these results, we not only faced a tough competitive environment, we were also cycling against a very strong quarter in 2013. In the year-ago quarter, we posted comparable sales growth of 5.7%, which Steve mentioned, with a guest count increase of 1.1%, which was about 400 basis points higher than our peers. While we are not satisfied with the performance this past summer, on a 2-year basis, we outperformed the industry and are confident that our brand transformation efforts will continue strengthening our relative position. Speaking of BTI. We are on track to remodel 65 locations this year, resulting in 95 restaurants being updated cumulatively. The sales impact of BTI on the third quarter was limited due to the disruption of remodeling 43 locations that we had under construction at some point during the quarter. The 32 franchise restaurants that we acquired at the beginning of the quarter performed in line with our expectations and the integration is on track. The acquired restaurants will not enter the comp base until the fourth quarter of 2015, after 5 full quarters of operations. We also opened 6 new Red Robins during the quarter, with operating weeks having increased about 7% on new openings alone. Our restaurant-level operating profit and margins were affected by the recent acquisitions. Excluding the restaurants acquired, restaurant-level margins decreased 30 basis points from a year ago to 20.1%, with last year having benefited from the leverage of the very strong sales growth. This year, cost of sales increased, with ground beef costs having increased more than we had expected. Meanwhile, labor rates increased due to minimum wage hikes, particularly, with July's increase in California, but this was offset by improved restaurant productivity and other cost productions. The year-over-year decrease in reported margins to 19.5% was mostly related to restaurants we acquired this year. As we had previously indicated, the margins were in the low to mid-teens at the time of acquisition. We expect them to improve as we implement changes, including new systems and processes. Depreciation and amortization increased to $15.2 million from $13.4 million last year, an increase of $1.8 million, of which almost half relates to the acquisitions. The remainder of the increase is due to the new restaurants and restaurant remodels. General and administrative costs were $20.1 million, a decrease of $500,000 from a year ago, as the additional costs associated with our Canadian office and infrastructure were more than offset by lower incentive compensation and benefits of a lower manager turnover, including reduced hiring and training costs. G&A was favorable to our expectations this quarter, as some project costs and other overhead shifted into the fourth quarter. Selling costs of 2.9% of sales were in line with our expectations for the quarter. The income tax rate came in at 12.5% this quarter as we benefited from a onetime research and development tax credit of approximately $500,000, which we discussed last quarter, as well as about $300,000 of WOTC and other return-to-provision true-ups. Turning to capital investments. Year-to-date deployment has totaled almost $76 million excluding acquisitions. This was comprised of $42 million for new restaurants, $22 million for our brand transformation program and $12 million related to maintenance capital and corporate projects. We expect to open 6 Red Robins and 1 Burger Works in the fourth quarter, bringing total openings to 22, fewer than previously guided due to construction delays on 3 locations. As Steve said, we have been pleased with the initial sales of Burger Works in Chicago and Washington, D.C. and have 3 additional units under development across these 2 markets, which we expect to open in early 2015. We closed our Columbus, Ohio, location early in the fourth quarter as we realigned our future growth to dense urban areas. Now, I'd like to provide a quick update on one of our IT initiatives. We have just completed a release upgrade of our Oracle Fusion system, which went smoothly, and the financial module is running well. As you may recall, though, we halted our restaurant supply chain pilot in the spring pending this upgrade, and we are now in a better position to further evaluate whether the Oracle supply chain and human resource modules can meet our requirements. Turning to guidance. We've made a few adjustments to our 2014 outlook, considering recent performance and increased commodity costs. First, comparable revenue guidance of almost 3% for the year implies fourth quarter comparable sales will be roughly in line with the 2.9% growth rate achieved year-to-date. With the cost of ground beef up more than 25% from a year ago, it has increased more this fall than we had expected, precipitating an earlier price increase than planned. We will be taking an increase of about 1.2% in November, resulting in about 1.3% average price for the year. We want to deliver great value to our guests and target offsetting commodity and labor inflation on a dollar basis, not a percentage basis, through a combination of cost-saving initiatives and price. By itself, this results in margin erosion during inflationary periods, but especially appropriate when you expect commodities to return to normal levels over time. General and administrative costs are projected to be about $93 million, or $1 million lower than previous guidance, due to lower turnover and related training costs as well as in the delay in filling of open positions. Depreciation has increased slightly from our last guidance based on the final purchase accounting of the 32 acquired restaurants. We will issue full 2015 guidance on our February call, as customary. We will -- as we look at capital deployment for next year, though, we expect to balance the same pace of new Red Robin openings with around 20, plus at least 5 Burger Works. As Denny mentioned, we are also targeting to almost double the pace of brand transformation remodels to 125 completions next year. The combination of these investments and maintenance capital should amount to roughly $120 million to $130 million of investments in 2015. Our depreciation next year will reflect these investments as well as additional accelerated depreciation to write off between $2 million to $2.5 million of assets at restaurants being remodeled. When thinking about the first part of next year, remember that we'll be cycling over a very strong Q1 2014, and expect margins to be pressured by recent acquisitions combined with continued commodity inflation and minimum wage hikes not being fully offset by price, which should result in limited earnings growth for the first part of the year, accelerating into the second half. With that, let me turn the call back over to Steve for some final remarks before we take your questions.
Stephen E. Carley: Thank you, Stuart. To conclude, Q3 closed with positive momentum, reflective of lessons learned with regards to marketing, promotions and average check management. While we returned to a $6.99 everyday value message with Tavern Double on television, our compelling in-restaurant merchandising of our new Finest burger and appetizer supported growth in average check. Best of all, despite heavy COGS pressure, we were able to manage the middle of the P&L successfully to maximize profitability. While we have a mission to serve more guests more often, we will continue to be thoughtful about chasing traffic for its own sake, particularly at the expense of profitability. Rather, we choose to focus on what brand elements set us apart: everyday value, menu innovation, our burger barbell strategy and engaging the guests with an outstanding experience, with our triple R service. We've made significant progress on brand transformation over the past 3 quarters, with more to come in Q4, and are optimistic about what these enhancements are doing to evolve our brand. We also have considerable growth ahead of us. The runway for development of new Red Robin's restaurants and the brand is significant. And finally, our confidence is ground in the knowledge that we have a talented team who are working hard everyday to deliver our brand promise, and I'd like to take a moment to thank our dedicated team members in our restaurants for their flexibility and responsiveness, particularly during Q3. With that, I'd like to thank you all for your time, and we will now take any questions.
Operator: [Operator Instructions] And we'll take our first question from Alex Slagle with Jefferies.
Alexander Slagle - Jefferies LLC, Research Division: I had a question on the labor, with the California minimum wage increase and that being 20% or so of your labor costs. If you could talk to anything you did on regional pricing decisions, whether you did increase prices in that area or if you're sort of waiting until later in the year.
Stuart B. Brown: Alex, this is Stuart. Yes, the impact of the California minimum wage is -- by itself, is, I think, somewhere $2.5 million to $3 million on an annual basis, right? So it went up July 1. We have not taken any price. We are moving to more of a tiered pricing structure, so we will be taking price in November in California as well as some other markets, but California will reflect the fact that their minimum wages are up more. We've seen a number of our peers already take price, so we feel pretty comfortable with what -- the plans that we have for that market.
Alexander Slagle - Jefferies LLC, Research Division: Okay. And then just 1 question on the marketing. Just the decision around the burger-and-movie promo tie-in for the holiday season. Is that the first time, I guess, you've done that during the winter holiday?
Stuart B. Brown: Denny, you want to take that one?
Denny Marie Post: Sure. I'd be happy to, Alex. This is what we call a Tier 2 promotion, in-restaurant only and online only, so it will not be featured on television as our summer promotion was. This will be the first time that we have done that, and it's reflective of the continued belief and response we saw to earlier gift card sales. Again, we significantly outpaced this year's gift card sales year-over-year, and Burgers And A Movie is a great way of creating value for our guests. With a purchase of a $25 gift card and burger and a movie, they get a free ticket. So yes, this will be a first time for the holiday and the Hobbit franchise will be featured in-restaurant and online only.
Operator: And we'll take our next question from Andrew Charles with Bank of America Merrill Lynch.
Andrew Michael Charles - BofA Merrill Lynch, Research Division: Great. Stuart, sorry if I missed this, but what was the overall food inflation during the quarter? And what your guidance implies for 4Q? As well as if you have those numbers for ground beef alone?
Stuart B. Brown: Yes, obviously ground beef was -- been increasing all year and up significantly in the middle of the summer. And typically, ground beef starts to come down after Labor Day. We didn't see -- it didn't see any meaningful decrease this year as we have in past years. Inflation for the year, obviously, those expectations have increased to about 3.5% for the year. For the third quarter itself, it was around 4%. Ground beef -- from Q2 to Q3, ground beef was up about 17%. So obviously, moved to -- moved faster than we expected. Some of that's due to increased demand at retail level, right, with poultry prices still being inflated. People are not trading in the poultry right now as they normally do. And we've actually what we understood is that people are actually trading in the steak and other things into ground beef. So we expect ground beef to come down a little bit as we start to cycle against the big increases -- or not come down, but the increase is to slow down the middle of next year, sort of what's -- what our expectation is for next year inflation.
Andrew Michael Charles - BofA Merrill Lynch, Research Division: Okay. And we're back into restaurant margins of roughly 13% for the acquired stores. So Denny, could you talk a little bit more about the progress of Project RED initiatives you're implementing at those stores? And just jumping ahead, if you're still targeting roughly $2 million of net income accretion next year?
Denny Marie Post: I can speak specifically, Andrew, to Canada. I'll leave the rest to Stuart to speak to the U.S., remembering that it's a split acquisition. In the Canadian side of the business, it's on the lower end of those margins and, again, challenged by high food costs and high labor costs in Western Canada. I would expect that we should begin to see material improvement in that business by mid- to late year next year. But I'll turn to Stuart for the specific question with regards to overall impact.
Stuart B. Brown: Yes. I mean, the overall margins for their -- for the mock acquisition, if you remember, their AUVs are lower than our average, largely due to some of the markets that they're in. So they probably won't ever hit Red Robin margins. But if you adjust for AUVs, their margins are probably, I don't know, 400 basis points below where Red Robin is. And I'd say, about half of that's in COGS and the other half is in labor and other lines. And so those are items that will be sort of like Project RED, which Denny talked about, in Canada. We will methodically be going over the next year, implement some changes in some of the new systems.
Operator: And we'll take our next question from John Glass with Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: Can you talk just in -- as you think about the fourth quarter and going forward, right, you've recovered traffic, so its positive. Maybe you could -- I don't know if you want to talk about how positive, but are you going to lose or are you losing some of the mix benefit as you go back to the barbell strategy? So in other words, are you trading one for the other? Or do you think you're holding your guest check growth to about the same level it's been, maybe year-to-date or in the third quarter?
Stuart B. Brown: John, this a Stuart. Fourth quarter, relative to the third quarter, we will lose some mix benefit because when we initially launched the Finest line, which really resulted in great trade-up in restaurants in November last year. So we'll be cycling against that. So we will definitely lose some mix trade-up because of that, and it's been our biggest check driver for the last few quarters. And that will be offset. Again, we'll be taking a little bit more price in the fourth quarter. So price in the fourth quarter will be somewhere 1.5% to 2% flow-through. So that will offset a little bit of that as we take price in November.
John S. Glass - Morgan Stanley, Research Division: And can you talk about your pricing? Though it's earlier, it still seems on the conservative end of what other brands are taking right now, particularly in light of the commodity inflation wage, all the stuff we all know about. So can you talk about why you still think that's the right level of pricing? And you said you're going to offset other cost pressures through the cost initiatives. Can you maybe just remind us where you are as we think about sort of early '15 or should we think about, going forward, cumulatively like the dollar value, some of those cost savings, you could think about offsetting some of those pressures?
Stuart B. Brown: Yes, John, maybe I'll talk a little bit more about that on our February earnings call. But we do try to make sure from a value perspective that we're above where most of our peer group is. And obviously, that's much more than price. PCI will have a big impact on that as we change the environments of the restaurants. But we don't want to get out ahead of it, either. I mean, we've all been through sort of the late 2000s and some chains, including Red Robin, probably took more price-backs than they wanted to. And when you expect commodity prices over time to normalize, taking more price now is -- may not be the right long-term strategy. And we want to keep focusing on dropping -- driving sales through, through traffic growth. Again, we always maintain the ability to take more price if we have to, but we do have some other cost initiatives in the P&L to take some costs out and we're working through that, and talk about that more in February.
Operator: And we'll take our next question from Will Slabaugh with Stephens Inc.
Will Slabaugh - Stephens Inc., Research Division: I wanted to ask you about the mix. As we look into 4Q and into 2015, it was a little bit lower in 2 and 3Q, as I know you didn't highlight the Finest line as you had historically quite as much in store. As you return to that, kind of coupled with the Tavern, do you expect that mix to pick back up into 4Q of next year? Or how should we think about that playing out?
Stuart B. Brown: I'm trying to think through about -- I want to be sure I understand your question. Well, if I look at the sort of the combination of mix and pricing, right, that we will continue to get some mix enhancements as we work through appetizers and beverages. And Denny talked a little bit about some of the desert offerings, which has been an opportunity for us. It can -- it used to be an opportunity for us. So I think you'll start to see less mix growth going forward. And then, over time, as you think about 2015, how this is going to play out, BTIs in the restaurant remodels have been more of a traffic driver than a mix driver, so you'll start to see a pendulum swing a little bit.
Denny Marie Post: This is Denny. I'd also just -- I'd just add that we still have trial upside on Finest and building out the line. And you'll notice on the promo card that the entire Finest line is featured going into holiday. And that was something that we also want to just keep it front and center because it's still new for a lot of our guests.
Will Slabaugh - Stephens Inc., Research Division: Got it. And then one more quick one, if I could, just on labor productivity and improvements that you talked about, cost reductions that we saw flow through this quarter. How should we think about that offset to continue as you obviously have minimum wage pressures continuing into 4Q and next year? Do you think you can continue to be able to leverage that line? Or should we think about that as sort of a flattish-type line going forward?
Stuart B. Brown: I think it's -- this is Stuart. It's about probably flattish to more risk I would think, because you can -- you'll get some minimum wage increases in general, 4 or 5 states with that minimal wage on the ballots today. So I think there's more risk to that line than opportunity, as I think about early next year.
Operator: And we'll go next to Imran Ali with Wells Fargo.
Imran Ali - Wells Fargo Securities, LLC, Research Division: Your restaurant level margins are up roughly 100, 200 basis points over the last few years. Realizing the potential for short-term commodity volatility, what do you see as a longer-term opportunity to drive further expansion?
Stuart B. Brown: If I look at -- and if I know which margin line you want to look at, but if I look at either EBITDA margin or operating margins, I mean, our restaurant level margins are pretty good from a G&A perspective. And again, there's always differences with our peers. Looking back also, historically where Red Robin's margins were at the peak, we're probably still 150 to 200 basis points below where our targets would be over time. And that ties back, then, to sort of our overall EBITDA growth targets of really focusing on sort of low to mid-teen growth, obviously, that would exclude acquisitions, but really focusing on that EBITDA growth and over time, right, driving those margins, again, in a commodity inflationary environment like we're in right now, we're going to focus on dollars, not percents. But over time, that's probably what you should expect.
Imran Ali - Wells Fargo Securities, LLC, Research Division: Okay. And could you just provide some color on the quarterly cadence of your remodels next year? And the potential top line tailwind on your comps, sort of, base as a whole?
Stuart B. Brown: Yes. I would say we're going to try to evenly space them out over the year. When you're doing 125, and as I keep reminding our team who's leading this, that's -- you're doing a punch list every 2 or 2.5 days. So there's a lot of work and a lot to be done, and it takes a lot of people do it. So we've been working on the production process to get that done. And we'll obviously have to space those up pretty evenly during the year. The timing of NROs will be probably a little more balanced next year than this year. We've got quite a few under construction for the second quarter already. But that will be split a little bit more up between the first half and second half in 2015 versus '14.
Operator: And we'll take our next question from Chris O'Cull with KeyBanc.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Denny, was there a specific tactic -- or marketing tactic that caused the positive shift in traffic in the quarter?
Denny Marie Post: It was the...
Stephen E. Carley: Denny, you want to take that one?
Denny Marie Post: Sure. Thanks, Steve. Yes, it was. I think it's the shift to everyday value as our message on television, which we had been off of since early in the year. And then the combination of that and the upside of trial on Finest and specifically, having a new Finest burger to offer, which was the Southern Charm. So it's that 1-2 punch.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Okay. And then Steve, can you talk about your plans for next year to just continue working on improving guest service? Maybe just help us understand how you need to plan to improve -- not just the training, but also helping servers do a better job of selling alcohol as well.
Stephen E. Carley: Yes. Chris, we're using -- remember, a year or 2 ago, when we rolled out the plating and presentation and triple R service. We continue to work on that on an ongoing basis. But we are using the remodel of an individual restaurant with a BTI as a rallying cry to, again, refocus the team on the key elements of our service model and let them know how important it is that they elevate the guest experience with this and not just count on the paint and wallpaper changes for the remodel to do the job. And so that gives us a great opportunity as we change the environment for the team members and the guests to reinforce for the team how important that they deliver on great service and how important that is to delivering the promise. So we're going to have a great cadence of that over next year as we continue to learn and reinforce this. And it's something that we're going to be talking about for a long, long time. We've got turnover with our team members. We always have to remember that we've got new folks coming on the team, that it's a constant repetition, reinforcement. Management teams at restaurants need to hold their team members accountable. We're rewarding and recognizing those that do a good job and then -- and having consequences for the folks that aren't buying it.
Christopher T. O'Cull - KeyBanc Capital Markets Inc., Research Division: Are you seeing -- are you able to track or see improvements in guest satisfaction scores, and specifically around service, after you go through that process?
Stephen E. Carley: It's -- we do see a lift when we do a brand transformation. And the key with that is to continue to reinforce it so that it sticks, so to speak. It's sometimes tough to separate the change in physical environment from the service experience piece, but we do see a nice lift when we put it altogether.
Operator: And we'll take our next question from Steve Anderson with Miller Tabak.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: I wanted to go into more detail about the remodels. I mean, if we recall at the Analyst Day last year, you're talking about a $400,000-per-unit remodel cost. So have you been able to achieve any kind of progress in getting some of those costs down?
Stuart B. Brown: Steve, this is Stuart Brown. Yes, the answer is -- the short answer is yes. From the remodel costs, we've been able to do some cost engineering. And as we've gone through it, because there are old ones, obviously, who are a bit more design-built. That said, next year, the remodels, some of our biggest markets, particularly in California, which are some of our oldest and biggest units, so on a per-square-foot basis, while it may be comparable, the actual dollar cost per remodel will be more. And with that, what we're going through and doing as well is that we're looking at the life of the lease and the age of the store. We've got a number of units set up that we are going to do, call it, sort of a major remodel on. So it's almost an on-site relocation, if you will. We did that to Northgate earlier this year to great results. And we'll be doing a handful of those next year as well, where we've gone back to the landlord, work with them -- we have a great relationship with our landlords -- to go through and basically create a brand-new restaurant out of it. So some of those will run significantly more than $4000, but then as we move through some of the West Coast and into the East Coast units and some of the, what we call, the 99 prototypes, those will -- the actual remodel cost of those are less than $400,000.
Stephen Anderson - Miller Tabak + Co., LLC, Research Division: Okay. And are you still seeing about a mid- single-digit hurdle in terms of comp lifts, post the remodels?
Stuart B. Brown: Yes, exactly. So IRR hurdles, 12%-plus. And then to get that traffic lift, sort of the 4% to 5% we've been talking about.
Operator: And we'll take our next question from Bryan Elliott with Raymond James.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Just wanted to ask a bit about the Burger Works. Maybe, Steve, it sounds like we're kind of honed in on colleges and dense urban areas. Did I hear that correctly? And that will be the focus of future development? And maybe speak to, overall, your relative level of enthusiasm. There's obviously been a lot of news out of that sector with some of the leading players under -- clearly under some pressure. So talk to the better burger category and catch us up on your thinking for Burger Works, specifically.
Stephen E. Carley: Yes. Brian, this is Steve. We are pleased with what's happening on the Burger Works that we've opened in Chicago and Washington, D.C. We think we've landed on the right location and real estate strategy where we're bringing Red Robin to trade areas that we would never probably be able to penetrate with a big box. But with this more efficient, smaller footprint and the great engine we've built in the kitchen, we are seeing the ability to a very -- on a very timely basis, get our gourmet burgers out, competitive almost to the speed and service of fast food, with the same quality. And that's been the biggest win for us, so far. So we're going to double down in Chicago and in D.C. in dense urban areas and potentially look at a third market next year. And we're happy with how the kitchen is putting the food out, the quality of the food, the guest service and the initial opening volumes. And we'll just see how they sustain, but we're encouraged.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Given the pressures of -- from some of the larger players in the better burger category, do you need to take share? Or I mean, how do you view the segment, the better burger fast-casual segment?
Stephen E. Carley: Well, as you said, Bryan, some of them are under some pressure and we know that. Some of the packages that are being offered for sale come across our desk, too. The other thing to remember is that with a couple of exceptions, many of these better burger players are in the same kind of trade areas where our big-box Red Robins are. They're in suburban locations and strip centers, and we've already got presence there. So we think our strategy of taking Red Robin into the cities is a differentiator. And we've got brand awareness already. We are being thoughtful and prudent about how fast we go as we see the category unfold, and continue to understand what guests' expectations are from this particular category, and -- which is one of the reasons we're a little more prudent on unit development than many people may think.
Operator: [Operator Instructions] And we'll go next to Bob Derrington with Wunderlich Securities.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: Stuart, could you give us a little bit of color as we think about the roughly 125 brand transformations as you look out to 2015? I think it was mentioned that there were some construction delays or construction distractions during the latter part of the recent quarter. How do you expect those -- 120, that's a pretty big number, to influence the numbers as we see them flow down through to P&L? Higher depreciation, some -- higher labor costs or what kind of issues should we anticipate?
Stuart B. Brown: Well, at the restaurant level, you've got to remember, these are -- we're doing the majority of this work in the evenings and it takes, depending upon the complications of the remodel, typically sort of 6 to 8 weeks. We do have some that take longer than that for the bigger jobs. And so you get disruptions from the guest standpoint and a team member standpoint. Not significant from a labor standpoint, right? There's extra cleaning and a little bit of extra work going on while that's happening. But from the guests' standpoint, it is not the best environment to be dining in, so we try to do a great job with promotional materials and things like that upfront, so guests anticipate when they're coming in, they know what's coming. And typically, among our more loyal guests, they're excited about the changes we're making. And then we are able to -- once we get these done, remember, we're doing these remodels typically by market and so what -- we're doing some testing around this year, is doing -- certainly, among the loyalty base, doing some announcements about the remodels being completed to drive trial into the new restaurants. So typically, while you're getting some disruptions while the construction is going on, we're getting some offset of that during a little bit of a honeymoon period after it's done, and driving trial and new guests to the restaurant and then, over time, right, as you're bringing new guests in, we can do signage and the new exterior that traffic lift continues to build. We've been experiencing it already this year, so you've seen a little bit where probably a lack of -- a little bit of lack of traffic growth on those units because they're just now largely getting completed, so.
Stephen E. Carley: Bob, the other issue we learned this year was that it -- getting engagement with our landlords was significantly more challenging than we thought. And that's also an issue in some municipalities with permits and zoning. So to deal with that, we're months and months ahead of the process going into '15 around landlord communication and permitting and zoning coordination than we were this year. And that also gives us some confidence that we'll be able to get these done.
Robert M. Derrington - Wunderlich Securities Inc., Research Division: I'm going to raise that now. As we look at what you'd learned going through the first, roughly, 95, are there any additional benefits from the remodel beyond -- obviously, guest count increases, same-store sales leverage. But are there any other efficiencies within the box you're able to relocate certain -- either cooking stations or expediter or any kind of other leverage that you find within those?
Stephen E. Carley: Bob, we haven't done anything, fundamentally, to the back of the house. So there hasn't been any upgrade there. Remember, when we rolled out our plating and presentation a year or 2 ago, we did add some equipment to the back of the house to enhance the quality and the temperature of our food. But that's -- those are in place now. So we're not getting much benefit thoughtfully out of the heart of the house kind of stuff. The benefits of experiential for the guests, and I think, probably, the biggest surprise is how excited our team members are to be working in an updated, more contemporary environment. And that, then, as I'd mentioned before, gives us an ability to sit down and revisit our expectations around service and experience, and that's helping, too.
Denny Marie Post: Steve, if I can add one more thing to that. Bob, there's also the 3-zone seating and the seating efficiencies. So we're working very hard to maximize seating efficiencies for adults, family parties and mixed parties. So there is some benefit from seating efficiency.
Operator: And that does conclude our question-and-answer session. At this time, I would like to turn the call back to you, Mr. Carley, for any additional or closing remarks.
Stephen E. Carley: Thanks, Jamie. We appreciate everyone's time this morning and look forward to catching up with you again in our Q4 call in February.
Operator: And thank you. That does conclude today's conference. We do appreciate everyone's participation. Have a great day.